Operator: Good day ladies and gentlemen and welcome to the Lightbridge Corporation 2013 First Quarter business update and financial results conference call. At this time all participants will be in listen-only mode. (Operator Instructions). I would now to like to turn the conference over to Gary Sharpe, Head of Investor Relations. Sir, you may begin.
Gary Sharpe: Thank you, Shannon. Good morning ladies and gentlemen and welcome to the Lightbridge Corporation 2013 first quarter business update. Our earnings news was distributed after the market closed yesterday and can be viewed on the investor relations page at the Lightbridge website at ltbridge.com. Seth Grae, President and Chief Executive Officer will lead today’s call. In addition, the following executives are available to answer your questions. Jim Guerra, our CFO and Chief Operating Officer; Jim Malone, the company’s Chief Nuclear Fuel Development Officer; and Andrey Mushakov, Lightbridge’s Executive Vice President for International Nuclear Operations. Before Seth begins, I need to read the boilerplate. Today’s presentation includes forward-looking statements about the company's competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. These statements are based on our current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from our estimates. The risks include but are not limited to the degree of market adoption of the company’s product and services offerings, market competition, dependence on strategic partners and the company’s ability to manage its business effectively in a rapidly evolving market. Certain of these and other risks are set forth in more detail in our filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise these forward-looking statements whether as the result of new development or otherwise. By now, you know you can participate in today's call two ways. First, you can submit questions for management in writing to ir@ltbridge.com. The questions will be read and answered by senior management. If you have already submitted a question, we thank you. If not, or if you have more questions, you can submit them at any time during the prepared remarks or doing the Q&A period. Next, after the prepared remarks, we'll open the lines for live questions. The telephone numbers and other details were distributed in the news releases that are posted on the Lightbridge Investor Relations website, ir.ltbridge.com. Now, here is Seth Grae, President and Chief Executive Officer of Lightbridge.
Seth Grae: Thank you, Gary. Good morning everybody. And thank you for joining the conference call for our first quarter business update. Strategic interest is growing in Lightbridge in nuclear fuel designs, together with increased awareness and independent validation of our metallic fuel’s significant safety and economic benefits compared to conventional uranium oxide nuclear reactor fuel. Lightbridge technology remains well positioned to answer the most pressing global questions facing the commercial nuclear industry, as the industry works to deliver safer more efficient, base-load and carbon-free electric power. Safety and rising operating and construction costs are the two primary challenges facing the civil nuclear industry today. Over the past four months two independent studies, a peer reviewed article and analytical models were completed and published that validate the safety proliferation resistance and economic benefits of Lightbridge’s fuel designs. Let’s drill down into how Lightbridge addresses the industries growing demand for safer nuclear fuel. For years the unspoken notion in the commercial nuclear business was utilities don’t get paid for safety. Utilities get paid only to keep the lights on, efficiently, affordably, and on a massive scale. Of course that belief is facetious. Safety is paramount in nuclear power plants. Regulators and the public demand it. Construction standards, operating procedures, and inspections help ensure it. The emphasis on safety became more profound on March 11, 2011; when an earthquake sent a tsunami crashing into the Fukushima Daiichi nuclear power plant in Japan. And the time since this tragedy, we have learned that human error as well as the natural disaster contributed to the destruction of four of the plant’s six reactors. It’s why we believe by industry investigators that the Fukushima reactors could have remained in a safely shut down state if the backup electrical system had not been inundated by flood waters. As a result coolant water turned into steam that was subsequently vented out of the reactors steam-valves to prevent major damage to reactor pressure vessels. This led to water levels dropping, resulting in uncovering the conventional uranium oxide fuel rods which operated about 1300 degree Celsius. Under normal conditions, due to the loss of normal cooling water, the zirconium cladding temperature quickly began to rise approaching the temperature of fuel pellets enclosed inside that cladding. Once the zirconium cladding temperature exceeded 850 to 900 degree Celsius, steam began to react with that zirconium in the cladding creating hydrogen gas. The hydrogen gas could not be vented quickly enough the gas exploded destroying four of the Fukushima reactor buildings although many safety procedures were followed at Fukushima, operators did not heed earlier advice to locate backup generators and other sources of emergency power at higher elevations in addition to the generators located in the flood plain of a potential tsunami. Post-Fukushima regulations and construction standards have been and will continue to be revised to include even more safeguards. Where applicable, seawalls are being built and extra thought is given to location for backup generators and other sources of emergency power. Today, the new understanding is nothing is more expensive than a lack of safety. Safety is an important differentiator for Lightbridge as we progressed toward demonstration and commercialization of our metallic fuel designs. Lightbridge is and will be involved in the ongoing discussions of affordable nuclear power plant safety measures. Here is why. Due to its patented design and composition, Lightbridge’s metallic fuel operates at approximately 1000 degrees Celsius cooler than conventional uranium oxide fuels. In the event of what our industry calls a large break loss of coolant accident or LOCA where fuel rides begin to uncover quickly our fuel remains at least 200 degrees Celsius below the temperature at which steam begins to react with zirconium to generate hydrogen gas and an explosion risk we recently presented data from analytical milling of our fuel in a large break loss of coolant accident, LOCA, to the Lightbridge nuclear utility fuel advisory board the group is comprised of the top nuclear fuel managers at four of the largest U.S. nuclear utilities; Exelon, Duke, Dominion and Southern. Together these four utilities generate nearly 50% of all U.S. nuclear electricity. In short these fuel managers are enthusiastic about the safety features of our metallic fuel design they have told us that Lightbridge fuel could help moderate the expense of post-Fukushima safety requirements that are driving up nuclear power plant operating and construction costs. These fuel managers remain keenly interested in the additional test their plan to confirm our preliminary analysis as well as Lightbridge’s progress towards commercialization. This is just one of the many facets of the safety features that Lightbridge metallic fuel can provide nuclear utilities Lightbridge fuel is safer by design. During the first quarter, Siemens Industry Inc. announced the findings of its independent analysis of Lightbridge Fuels proliferation resistance. A summary of these findings is posted in the investor relations page of the Lightbridge website. In short Siemens said that Lightbridge fuel is classified as low enriched uranium and is unsuitable for processing for nuclear weapon construction. In fact, the analysis quote, it would actually be more efficient and stealthy or diverted to process natural uranium raw ore to the highly enriched state unquote as opposed to processing our fuel for weapons use. The economic benefits of Lightbridge fuel technology were also validated recently. In December a separate study by Siemens Industry Inc, showed that our metallic fuel for 10% power up rate and a 24 month cycle in existing pressurized water reactors can deliver highly attractive returns on invested capital to nuclear utility. Even with conservative assumptions on reactor conversion and regulatory licensing costs, in addition a peer reviewed article on the company's fuel technology was published by the American Nuclear Society in December in a prestigious peer reviewed journal Nuclear Technology. The article highlights how our fuel is capable of increasing the power output and extending the cycle length of current generation light water reactors. The paper also reviews the unique geometry and composition of our metallic fuel and its application to power up rates in light water reactors. Submitted in 2011 the paper was subject to rigorous review by the top technical experts as the peer reviewers. You can find both Siemens studies and links to the peer reviewed article on the Lightbridge investor relations website. Now let's talk briefly about Lightbridge's advisory services business segment. We offer comprehensive advisory services to governmental entities and countries that want to establish safe secure cost effective nuclear energy programs. Since 2008, Lightbridge advisory services have generated more than $45 million in high margin revenue. As we disclosed earlier, Lightbridge's consulting contract with a nuclear regulatory authority in the United Arab Emirates was renewed in 2012 and extended to the end of 2014. The success of Lightbridge's advisory services division is perhaps one of the company's best calling cards. Beginning in 2008, our experts structured a program for entities within the United Arab Emirates, using a Lightbridge roadmap. Construction of a $40 billion 4 reactor project is underway in the United Arab Emirates and remains on time and on budget. We have submitted consulting proposals in other countries in 2012 and so far in 2013. In many of these consulting proposals, Lightbridge's teams with large and engineering and construction companies. Lightbridge value is a highly regarded expert resource for nuclear reactor side, side of action, procurement and deployment; reactor and fuel technology and International relations and regulatory affairs. We believe the company is well positioned to earn more of this type of long term high margin business. However, bidding processes for this complex, multimillion dollar contract are long and differed in every country. We are in active discussions with government representatives on these proposals and we expect responses beginning in the second half of 2013. Now let's move to the company's financial performance. Our financial result was summarized in the news release that was distributed after the markets closed yesterday. In addition, our Form 10Q was filed with the SEC last night. Results for the quarter also opposed in the leverage website. I won’t recite all of the details now except for the report that at March 31st 2013, leverage had $3.2 million in cash and cash equivalent, restricted cash and marketable securities. Working capital totaled $4 million, with no long term debt. The company has never incurred long term debt in the history. We have disclosed previously that we expect to see new financing or additional sources of capital in the next six months to support the ongoing R&D activities required to continue to advance leverage fuel products to a commercial stage. There are three primary potential sources of cash available to us. First, equity investments by institutional investors. To facilitate that option, leverage recently filed one S3 with the SEC to update our self registration documents. With regard to shelf as one of the benefits of being listed on the NASDAQ exchange. And it is a good cost effective wage to ensure the company's financial flexibility. We would carefully consider the dilutive effect of our potential equity rates as compared to the enhanced balance sheet strength and liquidity needed to support our ongoing R&D activities. Second, strategic investment or fuel development costs sharing through alliances of major nuclear fuel vendors, fuel fabricators and/or other strategic parties. We began discussions in 2012 with potential partners relating to US based nuclear fuel fabrication which we believe could streamline production of leverage fuel and enhanced excess to a major segment of the fuels addressable market. We expect these discussions to be completed later this year. And three, thirdly is the new consulting contract. As I mentioned earlier, Lightbridge submitted advisory proposal for services in several countries mostly in Europe, Asia, and the Middle East where there are plans to create or expand electricity generation using nuclear power plant. Responses are expected beginning in second half of 2013. Now, let’s open the call to your questions, remember in addition to asking live question by telephone you can also submit questions in writing now to ir@ltbridge.com. Gary Sharpe, who is in charge of our Investor Relations, has collected questions, and let me turnover to Gary and also to you Shannon.
Gary Sharpe: Thanks Seth. While we wait for the Q&A line up form let me start with one of the questions that’s coming via the internet. Independent analysis continues to prove the value in Lightbridge patterns and technology. Lightbridge intellectual property can be replicated and one would assume is worth far in access of the roughly the Company’s $20 million market cap. With the need to raise $3 million to $4 million to fund R&D, is there any plan to monetize current intellectual property in the near future?
Seth Grae: Right the independent analyses have been validating the value of the Company’s IP and we expect that to continue going forward s there is more analysis. I agree that the intellectual property is the sole property of Lightbridge and is solely value of having in a sense of legal monopoly and I do think their value will be proved to be much greater than the $20 million cap of the Company. The way we’re going to be monetizing the IP in the longer run is through the licensing of the IP to fuel fabricator that will be making fuel selling it to utilities, and each time utilities buy fuel there will be a royalty pay to Lightbridge. And every year as utility around the world is buying fuel for reactors that will be recurring income to Lightbridge. In the nearer term, we intend to monetized the IP through these strategic relationship that we discussed a few minutes ago where we’re working with major companies including nuclear fuel fabricators on strategic alliances that could bring cash into Lightbridge and we’re expecting some of those to be completed later this year.
Gary Sharpe: Operator Sharon, if you would please remind our listener about the process for asking live questions.
Operator:  Sure. (Operator Instruction).
Gary Sharpe:  While waiting, Sharon, four more questions, let’s go back to at the email written questions. Revenues declined each quarter, and is down about 40% since the first quarter of last year due to slowing consulting revenue. You’ve mentioned that you’ve got better visibility around the June timeframe on more consulting contracts. Can you provide guidance on you executions around the size and timeframe for new government consulting contracts?
Seth Grae :  Yes, the revenues were more solid on the consulting until Fukushima and have fallen since as countries that we’re planning has start nuclear power have taken a pause. But as I’ve said before, they’re now all just about all returning and some others that we’re aren’t even looking at nuclear power before Fukushima, which is why we do expect during the second half of this year to have the proposals we’ve been making in other countries to start having some answers and some results. It’s out of our hands whether we’ll have any new information in the June timeframe. There is a potential contract that the customer has indicated they would let us know in around that timeframe. But it’s really up to them and these things often slip it could be a little later. So, I can’t say exactly when the dates will be out and I’ll say more broadly in the second half of the year. I do think that as Fukushima is receding into the past, and countries are once again taking very serious looks at starting nuclear power programs, that you will see new consulting agreements for Lightbridge. I also mentioned that it hasn’t only been the declining revenues, we also had as I said our contract to the regulated in the UAE, renewed and actually expanded. I point out that for the first quarter; we had an administrative delay in getting projects approved. So there was, I would say, a one-time issue and once we got the projects approved, we are able to go ahead and execute but sometimes there are administrative delays and just getting these things through the pipeline and getting proper signatures on all these tasks. And administrative delays are government approvals including, you know high level approvals to do certain works in certain countries both from the U.S. side and from the other country side. So as Jim said, there is some work that has now been approved but you will see the results in the future reporting.
Gary Sharpe: Next question is from the internet. I am wondering if Lightbridge technology can be applied to help take care of leaking radioactive waste in and around Hanford.
Seth Grae: No, it’s a very good question and very relevant but the short answer is no that the fuel at Hanford is mostly from the nuclear weapons complex. It’s not from nuclear fuel rods. And what those materials are and what they are stored in is very different from nuclear fuel. Now nuclear fuel rods are stored in what’s called dry cask storage, after they are removed from the fuel pools, the reactors and the spent pool that fuels the reactors. And for example Fukushima, the fuel in dry cask storage was not damaged. The dry cask storage, concrete casks themselves, some of them moved between about one and three inches but that’s it. There are no other damage or anything that’s suffered from that and we do not intend to go into the line of business of looking to deal with nuclear waste that has nothing to do with, with nuclear fuel. On the nuclear fuel side, where reprocessing occurs, our fuels can be used to dispose of plutonium and perhaps other waste that come out of the reactors. But this is also very relevant to some other benefits of the fuel that we haven’t talked about much but we are studying and getting results on which include what’s called the improved mechanical integrity of our fuel and the reduced consequences of fuel rod failure. So for any reason, if there is a fuel rod failure in a reactor, there can be a radioactive release when the fuel rod cracks and gas comes out of the fuel. But only of a solid extruded metal fuel like ours, that’s really not as much of a problem at all. And as you have this ceramic fuel this uranium oxide fuel in conventional zirconium cladding tubes, the mechanical integrity of that can degrade over time and it becomes brittle as you have to move it, transport it, be it to a reprocessing facility or Yucca Mountain type facility over time, or can result in damage to the fuel. And again the improved mechanical integrity of our fuel will be better on the back of the fuel cycle plus our fuel will generate less waste per unit of electricity generated and less toxic waste and less proliferative waste. But unfortunately for people at Hanford, we are not going to help them with those kinds of casks and those kinds of tanks and that kind of waste in those tanks.
Gary Sharpe: All right, another written question. What’s your preferred way to raise capital for R&D expenses?
Seth Grae: The two preferred ways are first of all the revenue from growing our existing consulting contract and landing new consulting contract in new countries that we will be advising. And secondly, just as importantly, if not more importantly, the strategic commercial arrangements we are seeking to enter into during the second half of the year with major companies in the nuclear power industry including nuclear fuel fabricators, and other significant players in the industry. The third choice which I was, at first when I was giving the talk a few minutes ago, was an equity raise, with equity investors, which because we have a shell filed and that’s now been declared active by the SEC. We have the ability to do that too, but that will be our third choice out of those three.
Gary Sharpe: Another question from the internet. Can you provide an update on the Nuclear Utility Fuel Advisory Board that was created with large U.S. utilities? Would any members of the fuel board be interested in taking a minority stake in the Lightbridge to help fund future R&D?
Seth Grae : The Nuclear Utility Fuel Advisory Board consists of the top nuclear fuel managers at four of the largest utilities in the country; Exelon, Duke, Dominion and Southern company. They are very helpful to us in the analysis of the fuel and the commercialization of the fuel. The way our business model works, we will be licensing technology to fuel fabricating companies that will then make fuel and sell it to utilities such as those that are on the nuclear utility fuel advisory board. Whether there could be an investment stake by utilities is a separate thing that we have not thought including for potential conflict of interest and other reasons that it just would not be appropriate at this time. And it is not their business they are not, they in the business of horning reactors and other typed of power plants and selling electricity and they tend to be highly regulated by stake board’s in what they do so that is not something I would look for in the immediate timeframe. But there are other major players in the nuclear industry we are talking to, not so much necessarily about an equity investment in Lightbridge, although that potentially could be part of a transaction, but much more strategic in the value that we bring to their business with a more efficient and more profitable nuclear operation that is safer using our fuel.
Gary Sharpe: That segues into another written question have you made any headway in a possible cost sharing with a JV entity, a joint venture?
Seth Grae: Joint venture structures are part of what we are discussing with some strategic buyers, and we have made progress towards that.
Gary Sharpe: Okay operator, Shannon could you please remind our listeners about the process for asking live questions.
Operator: (Operator Instructions). I am (sure) that we have a question from Tom DeHudy of Brandywine Global. You may begin.
Tom DeHudy - Brandywine Global: Given the growing evidence that you have the fuel that Lightbridge is developing is considerably safer both on the operational standpoint and as pointed at by the Siemens study from a proliferation standpoint, are you making any progress with reactor designers in terms of getting Lightbridge’s fuel designed into new reactor designs, so that immediately as these new reactors would come online Lightbridge’s fuel would go directly in?
Seth Grae: Yes and just to clarify this a bit when we talk about new reactors, we mean new built reactors of the current type particularly pressurized water reactors and we're also talking with people who are involved in what are called SMRs, smaller modular reactors that are pressurized water reactors that are smaller. We're not talking about new reactors like future concepts like fusion and fast reactors and things like that, but for new pressurized water reactors, light water reactors, as they're also called, yes. We're working with the utilities that deploy reactors here and in other countries and we're working with the companies that design and supply the nuclear steam supply systems for the nuclear islands for the reactors. And while our focus is on the 10% power up rate version of the fuel for the existing reactors as the nearest term market and then the 17% power up rate also for existing reactors, perhaps following on the 10% power up rate in the same plant. The fuel for the new reactors is a 30% power up rate. And one of the advantages for prices that we're looking to say a four unit reactor where they would have 4 reactors at one power plant, you could build three and get about the same power and that's a significant advantage and has advantages throughout the supply chains as well. So the short answer is, yes, we're actively in those discussions.
Tom DeHudy - Brandywine Global: Just to elaborate on that, given that there is an enormous amount of investment going on in building such reactor complexes in China, in India, in other countries, wouldn't there be some fairly significant interest on their part to build three reactors rather than four, or four reactors rather than six.
Seth Grae: A small number of companies including some of the large, well I think including all of the largest companies in nuclear in the US but including some small companies as well, have been selected and invited by the United States government to go on the first official US government led nuclear trade mission to China next week. I will be on that as an invited participant for Lightbridge to discuss our nuclear fuel design with Chinese authorities and companies. The trade mission will also go to Vietnam where we'll be meeting with the Prime Minister of Vietnam, can give you an idea of the level who'll be talking to in these countries. Senior official traveling on this trade mission come from the White House, the State Department, the Department of Energy and the Department of Commerce which organized and is leading the mission. We were here at Lightbridge on a conference call with some senior people in China this morning, separate from the trade mission. And I'll also be back in China again next month so when we talk about some places where we are in some of the active discussions we have talked about on this call, some of that is in China.
Tom DeHudy - Brandywine Global: Thank you.
Operator: (Operator Instructions)
Gary Sharpe: Operator, while we are waiting lets go to another written question. Can you provide an update on the part 8.10 or the 123 agreement negotiations?
Seth Grae: Yes, we have received every export license, every approval we have ever sought in the history of the company. We have never been denied one. The active one that we have right now, that we are seeking approval relates to the work in Russia for the fabrication in Russia of the nuclear fuels for the samples that would be put into the (inaudible) rod reactor to test our fuel and the advanced test reactor here in the United States in Idaho. That has been approved by the United States Department of Energy on all their internal prophesies and it has been approved in Russia in their prophesies except one which is the non-proliferation assurances that come from the Russian government to the U.S. government which the Russian Government finalizes upon final findings of contract. And we are in those active prophesies and rationale to finalize those contracts which we believe will then trigger the 8.10, as many of you know, Dr. Ernest Moniz is about to become the new Secretary of Energy. There are very few 8.10 export licenses issued by the department of energy in any given year. It's only about six. So, this is not something done lightly by law, they have to be personally hand signed by the Secretary of Energy. We expect to have a new Secretary of Energy next week. We expect to finalize these matters in Russia soon and to have that 810 issued. The 123 Agreements refers to something different; 8.10 is part 810 of the Department of Energy Regulations which deals with nuclear export controls; 1, 2, 3 refers to section 123 of the Atomic Energy Act of 1954 as a mandate and under part 123 of the Atomic Energy Act, there can be nuclear corporation agreements between the United States and other countries that have to meet certain criteria including nonproliferation assurances. The United States has 123 agreements with many countries that allow U.S. nuclear trade with those countries. The one with South Korea will expire next year. The countries have agreed to extend that one for two years while they negotiate the terms of a new one which is hung up over whether the U.S. will be advanced to send enrich and reprocessing to South Korea. There is active 123 negotiations with Saudi Arabia. The one with Taiwan will be renewed soon. There are others coming along including with Jordan. We are involved in some ways in some of these discussions are including on the Saudi 123 agreement and the South Korea 123 agreement. We think the U.S. government getting those done would open opportunities for many U.S. companies throughout the supply chains to reactors being fueled and serviced and constructed in those countries including Lightbridge.
Gary Sharpe: Okay there is another question via email. Could Lightbridge advisory services participate in any way in the work being down between Aviva and Mitsubishi on a new nuclear power plant in Turkey on the Black Sea, or in the Japan, UAE agreement to transfer nuclear material and technology?
Seth Grae: Turkey is going to deploy reactors on two sites. Down on the Mediterranean there will be Russian deployed reactors that will start constructions and two of them what are called EVER 1200 type reactors, which could use our fuel. And secondly now the new agreement up on the Black Sea where Turkey will deploy two Mitsubishi from Japan and Apnea one from France design where to call Apnea one reactors which are approximately 1100 megawatt pressurized water reactors and these are first toward for Apnea one pressurized water reactors. Our fuel could be used in those reactors, the question relates to advisory services. Yes, we could provide advisory services in Turkey relating (inaudible) 1 type reactor and two BBER type reactors and we’re in some discussions in Turkey about those matters relating to UAE and Japan cooperation, the UAE has signed nuclear cooperation agreements with – just about every responsible country in the world that is a supplier of nuclear. And we’re obviously very imposed in the UAE and have been from the very beginning including in some of these issues, including we had some roles in discussions relating to the 1, 2, 3 agreements for nuclear cooperation between the U.S. and the UAE. And so the fact that they’ve signed the cooperation agreement with Japan and that’s they’re dealing fuel cycle related activity with Japan is sort of similar to what they’re with the United States with many other countries. So, for example, conversion is a step in the nuclear fuel cycle where uranium is made into hexafluoride gas, that can be enriched and then the enriched uranium is made into pellets for the fuel and Converdyn in the United States. Now, how’s the contract in the UAE, we’re dealing conversion work. Similarly, there are contracts around the world of many countries around the world relating to uranium mining, uranium ore conversion of that uranium, enrichment of that uranium, fabrication of that enriched uranium into fuel, sale of fuel into the UAE for their program, services relating to the assurance of the quality of the fuel etcetera. So this is not something only between the UAE and Japan, it’s between the UAE and many countries in many steps of the fuel cycle like. Ours it is pretty much between a lots of countries and (multiple) supply chains around the world. So, we do work at ENEC, which is the Emirates Nuclear Energy Cooperation, which is deploying the reactors in the UAE and some of that work sometimes does touch on fuel related work where we advise them.
Operator:  Thank you. We’re showing no further questions at this time. We’ll like to turn the conference back over to Seth Grae for closing remarks.
Seth Grae: Can we just check whether any last questions over the internet Gary?
Gary Sharpe: I see nothing new.
Seth Grae: Okay. Well, thank you everybody for joining us for this first quarter conference call. We’ve been happy to elaborate on Lightbridge’s operations. As I said before, momentum is building throughout the global nuclear power market and Lightbridge is well positioned to serve this growth with the next generation fuel designs and expert advisory services. The evidence is irrefutable. I also want to remind you that our profession and personal interest are closely aligned with yours as Lightbridge investors. We are working every day to advance Lightbridge strategies are success and to enhance shareholder value. Thank you for continuing confidence and support in these efforts. We look forward to speaking with you on a second quarter business call. Please be in touch with us at ir@ltbridge.com between now and then. And thank you very much. Good day.
Operator: Ladies and gentlemen this concludes today’s conference. Thanks for your participation and have a wonderful day.